Operator: Good day, and thank you for standing by. Welcome to the Winnebago Industries second quarter fiscal 2025 financial results conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ray Posadas, Vice President, Investor Relations, and market intelligence. Please go ahead.
Ray Posadas: Thank you, Daniel. Good morning, everyone, and thank you for joining us to discuss our fiscal 2025 second quarter earnings results. This call is being broadcast live on our website at investor.wgo.net. And the replay of the call will be available on our website later today. The news release with our second quarter results was issued and posted to our website earlier this morning. Please note that the earnings slide deck that follows along with our prepared remarks is also available on the Investors section of our website under Quarterly Results. Turning to Slide two, certain statements made during today's conference call regarding Winnebago Industries and its operations may be considered forward-looking statements under securities laws. The company cautions you that forward-looking statements involve a number of risks and are inherently uncertain. A number of factors, many of which are beyond the company's control, could cause the actual results to differ materially from these statements. These factors are identified in our SEC filings, which we encourage you to read. In addition, on today's call, management will refer to GAAP and non-GAAP financial measures. The reconciliation of the non-GAAP measures to the comparable GAAP measures is available in our earnings press release. Please turn to slide three. Joining me on today's call are Michael Happe, the President and Chief Executive Officer of Winnebago Industries, and Bryan Hughes, Senior Vice President, Chief Financial Officer. Mike will begin with an overview of our Q2 performance. Bryan will then discuss the associated drivers of our financial results, in addition to sharing our forward view of the market and our fiscal year 2025 guidance. Mike will conclude our prepared remarks, and management will be happy to take your questions. With that, please turn to slide four as I hand the call over to Mike.
Michael Happe: Thanks, Ray. And good morning, everyone. Our Q2 performance highlights several positive accomplishments as we enter the all-important selling season. Importantly, profitability for the company increased sequentially, partly reflecting operating pricing or cost improvements within our Towable and Motorhome RV segments. As expected, soft retail and growing macroeconomic uncertainty continue to create a challenging sales environment across the outdoor recreation industry in our second quarter. Consequently, we remain intently focused on the factors in our control: disciplined production, strong dealer relationships, improved operating efficiency, and sustained innovation valued by our end customers. These are the strategic pillars that position us for sustainable growth as our end markets gain momentum. Our teams have effectively managed production output and input product costs in this current environment. We are collaborating closely with our dealer partners to provide market support where necessary. As we head into the prime selling season, the composition of our RV inventory quality and quantity is as healthy as it has been in a long time. Additionally, we are leveraging innovation as a strategic differentiating tool to meet available demand and stay ahead of market trends. Now let me highlight some notable recent achievements across our business units. In the Motorhome RV segment, Grand Design's new motorized division is off to a strong start. Driven by the successful production ramp-up of the Lineage brand inaugural product, the Series M Class C. The initial response to this award-winning Series M has been outstanding. Consumers and dealers applaud the vehicle's quality, comfort, handling, and meticulous attention to detail. We are pleased with the retail performance to date. That is just the beginning of what we expect to be for the Grand Design RV brand in motorized overall. Initial shipments of the new Lineage Series F Super C Coach are also getting underway as we speak, with opening shipments of the Series VT Class B product to follow late this third quarter. For those of you who missed it at the Florida RV Super Show in January, the Grand Design Super C is a beautifully designed four-season coach. Featuring our own LithiumX 320 amp-hour lithium battery, 1,000 watts of solar, a Fox racing suspension, and the new Sure Slide Out mechanism. The Series F combines exceptional engineering with premium amenities, setting a new standard in the Super C market. We have set a revenue target of $100 million plus for the overall Lineage brand lineup in fiscal 2025, and I am confident we are on track to achieve it. Our Newmar brand continues to lead in the premium motorhome RV category, particularly in the Class A diesel market, where its flagship Dutch Star has been the number one model for three consecutive years, fueling continuous market share growth for Newmar in that diesel category. On the technology front, Newmar is beginning to leverage advanced 3D product development technology to successfully reduce the time to market for innovative products like its Super C Grand Star. Looking ahead, Newmar is expanding its model year 2026 lineup to broaden our customer base and strengthen dealer relationships. At its recent annual dealer meeting just this week, Newmar announced an entire refresh to its Super C lineup, including the launch of the all-new Summit Air, which combines raw power with refined living. Built on a Freightliner Cascadia chassis, the Summit Air sports a DD16 600 horsepower engine and offers up to 30,000 pounds of towing capacity. Finally, at Winnebago Motorhome, under a newly crafted senior executive leadership team there, we are revitalizing the brand with a refreshed multi-generational product plan. Dealers are being engaged on what they need from Winnebago to be successful and showing interest in our renewed product and pricing strategies. The business turnaround plan is expected to begin taking shape in the second half of fiscal 2025, and especially into fiscal 2026. A meaningful organic opportunity for us over the next several years. Notably, our tri-brand strategy in the motorhome sector marks a key milestone in our diversification efforts. By leveraging multiple brands, we can begin to cater to distinct market segments across the whole of the category, mitigate market risks, and unlock greater potential for collective margin expansion. Winnebago Towables is undergoing a strategic transformation under 2024 industry Hall of Famer Don Clark's leadership. This initiative consolidates our current totals expertise in Northern Indiana, leveraging the region's strong design and manufacturing heritage and the overall support ecosystem from the Grand Design Towables organization. We are resetting the Winnebago brand Towables portfolio with a new pricing strategy, stronger dealer relationships, and an emerging exciting new product strategy, which is already generating significant dealer enthusiasm. By delivering travel trailers that meet evolving customer needs, Winnebago brand Towables is positioning itself to expand market share and drive growth. The combination of a powerful one-two brand Towables punch from our Grand Design and Winnebago brands makes us a more formidable competitor and lifts our market share ceiling in this segment long term. At the 2025 Miami International Boat Show, Varlita and Chris Craft received customer satisfaction index awards from the National Marine Manufacturers Association. Chris Craft, enjoying a strong spring show season, has also earned innovation recognition for its new Sportster 28 offering, which blends classic design and premium performance with affordability. The Chris Craft team is energized by the Sportster series' success, with a fifth model launching soon. The series is driving dealer network expansion and introducing the iconic brand to an even broader audience. Last week at the Palm Beach Boat Show, Chris Craft unveiled the Catalina 31, a redesigned center console luxury day boat and the newest member of the Catalina series. I've seen it firsthand, and it is stunning. Looking at recent RV industry data on slide five, it is worth mentioning that from a retail perspective, the winter months in Q2 are seasonally less relevant, with April and May in our third quarter providing a clear gauge of selling season strength and consumer confidence. For calendar 2025, we continue to forecast wholesale RV shipments of 320,000 to 350,000 units, or a median of 335,000 units. This is about 4% below the RVIA's recent 350,100 unit forecast and reflects our conservative approach as retail conditions remain subdued and increasing consumer uncertainty threatens to dampen the potential of this calendar year. Subsequently, dealers are expected to prioritize leaner inventory levels due to higher carrying costs as compared to driving improved industry inventory turns beyond the current two-time level. Some stability and optimism in future retail sales will be key to reducing dealer uncertainty and refining stocking strategies. Though the broader trend will remain focused on increased efficiency. Now I'll make two key points on the North American RV market share data on slide six. Strong performance exists in our core segments. We are performing well in the towable and motorhome RV price points that align with our strengths. In motorhomes, our Class A gas, Class A diesel, and Class C models gained retail share over the most recent six and twelve-month periods, driven by new offerings with strong growth potential. In the four price categories where we have the highest mix, our motorhome market share rose mid-single digits in 2024 versus 2023. In towables, we continue introducing affordable innovative products, expanding into new markets, and attracting customers. Our market share in the four towable price categories where we have the highest mix grew low single digits over the same period. We are beginning to see stronger signs of the affordability moves made by the businesses in the last year, stabilizing our overall total share amidst tough competition. Profitability over market share also remains a priority. We are committed to sustainable financial performance versus simply chasing pure volume. We won't engage in a race to the bottom. However, we will ensure a careful balance between profitability and sustainable share, all of which guides our strategic market decisions and ensures long-term success. Turning to slide seven, Barletta's market share for the twelve months ended February 2025 increased 140 basis points to 9.5%. The Barletta team has built the fastest-growing brand in pontoon history by listening to their customers and delivering. The performance, safety, and quality of every Barletta model is a testament to their commitment to customer satisfaction and innovative design. This success is further enhanced by their strategic and disciplined approach to inventory management and product development. By working closely with customers, Barletta has carefully managed inventory levels while expanding its channel and introducing new models over the last several years like the ARIA series, which caters to a wide range of customers. Our latest future continues to look bright, and we are especially focused on ensuring our dealers are cared for during a more difficult marine market environment. Now I'll turn the call over to Bryan Hughes for the financial review. Bryan?
Bryan Hughes: Thanks, Mike, and good morning, everyone. As a reminder, in my prepared remarks, I will focus on the key drivers of our performance. Please refer to our earnings release and earnings supplement documents for a detailed overview of our key financial results. Our consolidated results shown on slide eight reflected a shift in product mix both within and between business units. Towable RV volume increased year over year with a greater share in lower-priced units, partly driven by Grand Design RV's successful lineup expansion. Gross margin declined year over year, which was primarily due to deleverage associated with the product mix shift, partially offset by operational efficiencies. However, gross margin improved 110 basis points sequentially, mainly due to lower allowances and discounts. Second quarter and year over year due to the decline in gross margin along with an increase in SG&A related to the mix of incentive-based compensation plans relative to performance across businesses, as well as the launch of the Grand Design Motorhome business, and sales-related SG&A growth in the Barletta business. However, adjusted EBITDA increased 140 basis points sequentially as anticipated, driven by lower allowances and discounts and lower SG&A expense. Turning to our Towable RV segment results on Slide nine. Revenues increased modestly year over year primarily due to higher unit volume, partially offset by an industry shift toward more affordable models. Adjusted EBITDA margin declined year over year due to product mix shift, higher warranty experience, and higher input costs. Moving to motorhome RV results on slide ten. Second quarter revenues were down from the prior year. Year over year, the decrease reflected lower unit sales related to current market conditions, partially offset by product mix. As mentioned previously, sales benefited from the launch of the Grand Design Motorhome Lineage lineup. Adjusted EBITDA margin decreased compared to the prior year primarily due to volume deleverage partially offset by operational efficiencies and favorable warranty experience compared to the prior year. Turning to slide eleven. Revenues for the Marine segment were up from the prior year primarily due to unit volume, partially offset by a reduction in average selling price per unit related to product mix. Adjusted EBITDA increased compared to the prior year primarily due to targeted price increases, leverage, and operational efficiencies, partially offset by product mix and higher operating expenses, including incentive-based compensation. Turning to our balance sheet on slide twelve. We have a strong track record of generating annualized free cash flow, which is the foundation of our diverse capital allocation strategy. This approach has enabled us to fund organic growth, pursue value-accretive acquisitions, return cash to shareholders through dividends and repurchases, and manage debt effectively. Recently, we completed a $100 million cash tender offer to repurchase a portion of our 6.25% senior secured notes due 2028. Additionally, $59 million of convertible debt will mature in April 2025. At the end of Q2, our net debt to EBITDA ratio stood at 4.0 times, above our targeted range of 0.9 to 1.5 times. We remain committed to meaningfully improving our working capital and bringing our leverage ratio back in line with our historical target. Returning capital to shareholders also remains a priority. In the second quarter, we repurchased $20 million in stock with $180 million remaining under our share repurchase program. In April, we will pay a quarterly dividend of $0.34 per share to our forty-third consecutive quarterly dividend. As shown on slide thirteen, to navigate tariffs, we employ a multifaceted strategy to mitigate their impact. We collaborate with suppliers to identify exposed components, analyzing bills of materials to understand country of origin, assess risk, and develop targeted solutions. We also explore alternative suppliers with lower tariff exposure to maintain a resilient supply chain. While we expect to mitigate a large portion of tariff-related costs, some residual impact may require price adjustments. Given the fluid nature of tariff policies, quantifying the precise impact remains fluid. Turning to our fiscal 2025 outlook on slide fourteen. Let me address the economic realities that we're all seeing in the headlines. Expectations for our industry are subject to several dynamic factors, not the least of which are consumer confidence and expectations for future interest rate reductions. We keep close to these and other industry factors. And generally speaking, the last couple of months have seen expected tailwinds shifting to more neutrality or even slight headwinds. Inflation is something we are watching carefully, including any inflationary impacts resulting from tariff policy. We are mindful of the impact on our product costs and also on the overall impacts inflationary pressure may have on our consumers' willingness and ability to purchase durable discretionary products such as ours. In light of the uncertain macroeconomic environment, we are reducing our adjusted EPS guidance to a range of $2.75 to $3.75 per diluted share from a prior forecast of $3.10 to $4.40 and bringing in our consolidated revenue forecast to a range of $2.8 billion to $3 billion from $2.9 billion to $3.2 billion. This reduction in sales expectations is largely driven by the reduction in consumer confidence and consumer sentiment. All eyes are on the forthcoming selling season. And much will be learned in the April through July period when the bulk of retail sales occur in the RV and marine industries. Regardless, we are encouraged about the new products in our pipeline and remain confident in our long-term strategy and in consumer interest in the RV and marine segments. Bottom line, yes, the industry continues to face some challenges. But we've been through many tough times before and we've come out stronger. We've got a solid balance sheet. We're lean and efficient but have opportunities still for further improvement. And we're ready to seize on these opportunities. We are staying nimble, we're staying focused, and we're committed to protecting profitability. I'll now turn the call back to Mike for closing comments on Slide Mike?
Michael Happe: Thanks, Bryan. In summary, we are realistic about the level of economic uncertainty stemming from pending trade policy around the world. Despite those challenges, as Bryan said, our business is healthy. We are bringing exciting new products to market across our entire RV and marine portfolio and building a foundation for organic growth as the outdoor recreation industry rebounds. Each of our five organic OEM brands has significant potential during a market recovery into a mid-cycle climate in the future. The prudent and fiscally responsible manner in which we have managed our business has been a cornerstone of our success. Over the years, Bryan and I have been proud to lead our entire team in maintaining a strong balance sheet ensuring financial stability and flexibility. This strategic approach has allowed us to navigate economic fluctuations effectively while investing in innovation and positioning ourselves for long-term growth. Our focus for the remainder of this fiscal year and beyond is simply this: seize opportunities that fit our strengths, expand our offerings to improve customer value where we should, and strengthen our overall market presence with stronger products, dealer relationships, and brand presence. Those are the most effective ways to ensure we enhance the value of Winnebago Industries for all of our stakeholders. Now Bryan and I are happy to take your questions this morning. Operator, please open the line for the Q&A session.
Operator: One one on your telephone. To withdraw your question, please press star one one again. In the interest of time, we ask that you please limit yourself to one question and one related follow-up. Please stand by while we compile the Q&A roster. Our first question comes from Joe Altobello with Raymond James. Your line is open.
Joe Altobello: Thanks. Hey, guys. Good morning. Guess first question, I wanted to go back to the guidance for a second. You talked about obviously the challenging backdrop as well as tariffs. How much of the, call it, fifty cent cut at the midpoint to EPS is specifically on the tariffs?
Michael Happe: Joe, good morning. This is Mike. I think a better way to think about the guidance from a tariff standpoint is that the range that we offered on guidance would incorporate what we believe at the time for fiscal 2025 would be any tariff impact. We certainly, you know, would hope that that would land closer to the midpoint than the lower end of that range. But, you know, generally, fiscal 2025 tariff impact will be relatively limited. Given timing remaining in our fiscal year, our existing working capital in terms of inventory we have, ongoing supplier negotiations, and precise pricing action that we can take during this fiscal year.
Joe Altobello: Okay. Understood. And then just to follow-up on that point, what sort of price increases would you contemplate if certain tariffs were to go into effect, for example?
Michael Happe: Joe, we won't share this morning, you know, on the earnings call, you know, intended pricing actions in the market that will be handled brand by brand and communicated directly to our dealers. I'd prefer not to lift those up visibility-wise to our competitors. Our businesses will react in the short term if they see any incoming cost pressure that we cannot mitigate. We are also preparing our model year 2026 product lineups and pricing, and that will also have the opportunity in around tariffs. Just want to reiterate though that as Bryan said, there remain significant unknowns about tariffs in terms of the degree and including reciprocal or retaliatory tariffs. And we will be much better informed probably sometime in early to mid-April following the administration's announcements, I believe, on April second.
Joe Altobello: Okay. Thank you.
Operator: Thank you. Our next question comes from Scott Stember with Roth MKM. Your line is open.
Scott Stember: Good morning, guys, and thanks for taking my questions.
Michael Happe: Good morning, Scott.
Scott Stember: Yeah. Mike, when you were talking about a lower shipment guidance for 2025, it sounds as if you guys are a little incrementally more concerned about retail, at least that's the way that it appeared, but what are you seeing right now, at least, in March? I know that that's a little bit ahead of the key months that you talked about, but are you seeing anything in March that is making you more incrementally concerned that the start of the selling season could be at risk?
Michael Happe: Scott, good morning. I would say that March retail patterns in the first couple of weeks mirror what we've been seeing in February. So we're not seeing a significant change probably, you know, either to the good nor to the bad in the first couple of weeks of retail. It really depends again on brand and by category or segment. I would tell you that the guidance modification for the remainder of the fiscal year is probably mostly related to a couple of factors. One would be the timing of what we had hoped to be, you know, a retail rebound appears to be later, particularly here as we enter the early spring selling season, and then we paid it. And as you can imagine, you know, that's been impacted by consumer sentiment, the likelihood that the Fed will not make any multiple rate adjustments within that particular fiscal year back half window for us. And the other element to our guidance adjustment probably relates directly to dealer inventory appetite. Our dealers continue to be great partners to us. We are working hard to support them as best we can. They continue to also be very disciplined about the inventory they have on their lots. They continue to be focused on making sure that their model year 2023 and 2024 inventory is especially low. And getting that model year 2025 inventory into a better shape before they take model year 2026 inventory later in the year. So it's really the combination of retail sentiment not being as optimistic or as strong forward-looking as we had hoped, and dealers continuing to be disciplined.
Scott Stember: Got it. Or, Mike, allow me to add just one comment there. We tend to having just wrapped up the calendar year, we focus on some of the market share story for the calendar year 2024. I think if you look at some of the underlying data in the more recent retail performance, we're feeling pretty good about some of the trends we're seeing as it relates to market share specific. So some stabilization and call it proof points that some of our expanded product lineup is indeed driving some good market share performance. So we are encouraged by that.
Michael Happe: Got it. And then the last question is, you know, what are your big competitors recently announced that they were forming some strategic alliances with some big dealers. Just trying to get a sense of what your early read on this is on this for the entire industry, the relationship between OEM and dealer. And if you could talk about any particular potential impact on your guys' business.
Michael Happe: You know, Scott, we probably won't comment specifically on what our competitors are doing with any of their strategic dealer partners. We've certainly been aware of the chatter around that topic emanating from an earnings call a couple of weeks ago. I am at the Newmar dealer meeting as we speak. And have visited within the last, you know, twenty-four hours with several of our larger dealer partners, not just for Newmar, but really for Winnebago Industries on the RV side. And we feel really good about our standing and our relationship with those dealers across our three RV brands. So competition is gonna do what they're gonna do. We've stated very clearly this morning that we're going to continue to balance the pursuit of share as Bryan just highlighted with profitability. And do our best with product differentiation, good quality, good aftermarket service support, to earn our dealers' business. But we will not highlight any significant shipment share strategies here this morning that would have a negative impact on margin. That's not our intention.
Scott Stember: Got it. That's all I have. Thanks, guys.
Operator: Thank you. Our next question comes from Sean Wagner with Citi. Your line is open.
Sean Wagner: Hey, guys. Is there any color you can give on the phase into the top line or margin in the second half of the year? Or are there any kind of one-offs we should be aware of in either quarter?
Bryan Hughes: Oh, I don't think you should look for particular one-offs so to speak. You know, we continue to expect sequential improvement both in the top line from a year-over-year perspective as we go through Q3 and Q4. And then obviously, as we get into the selling season, margins will benefit from the higher volumes and the higher sales dollars in the form of leverage. So that's the extent of what we're prepared to provide as it relates to forward-looking guidance.
Sean Wagner: Okay. And I think you mentioned inventory turns currently around two times. What is your ideal? Where would you like to end the year? And I guess any thought on where you would want 2026 or just long term to be?
Bryan Hughes: Yeah. A lot of that will depend on where our dealers drive this, influenced, of course, by the interest rates that they're experiencing. Like, I think they're gonna continue to push for higher efficiency in the form of higher turns. And so, you know, we'll work closely with them on what that balance looks like. In other words, serving the customer with having inventory available on their lots that will remain important to us and stocking level and the agreements we have with our dealers will certainly play a role there. On the other hand, we know that they're going to continue to push for higher efficiency. So what that right number is, you know, we don't have a specific guide as it relates to the two-point-o going to two and a half, for example. We don't have a specific target in mind. We want our dealers to serve our customers and have product available. And so that's what we'll continue to work and partner with them on. Is to make sure that they have our full product lineup available and that they've got the floor plans that our customers are wanting.
Sean Wagner: Okay. But it's safe to say you think that there will be further inventory drawdown in the industry this year? Your retail estimate, I assume, is below your wholesale projection for the industry?
Bryan Hughes: I don't think that wholesale shipments will necessarily exceed retail. I think the dealers are gonna continue to, as we're seeing right now, particularly on the motorhome side, dealers are going to continue to strive to minimize their inventory. There may be a little bit of reduction required yet on the motorhome side based on the conversations we're having with dealers. We think the towable inventory is positioned very well. Okay? So a lot of the moves that the dealers will make will be related to the pace of retail that they are seeing. And they'll adjust their inventories accordingly.
Sean Wagner: Got it. Thank you very much.
Operator: Thank you. Our next question comes from Tristan Thomas-Martin with BMO Capital Markets. Your line is open.
Tristan Thomas-Martin: Hey. Good morning. Could you maybe just remind everybody that the motorized chassis, particularly like the Bs and the Cs, the Sprinters, the ProMaster, Transit, all that stuff. Where is that manufactured and then kinda what how should we think about where you would source chassis given some of these Mexico auto tariffs? Thanks.
Michael Happe: Good morning, Tristan. You know, as you know, we do source motorized RV chassis from a number of different manufacturers. You know, several different companies that have been good partners with us through the years. From a manufacturing or assembly standpoint, it is a mix. There are some of those chassis that are manufactured in final assembly, especially in the U.S. And then there have been times both in the past, but also currently where we have taken chassis in that have been imported in from, you know, other manufacturing locations from around the world. We are working closely with our chassis manufacturers, obviously, in light of tariffs and particularly at the announcement the administration made yesterday. To do everything we can to manage and mitigate the cost exposure that we would have that we would likely have to pass on to our dealers and consumers. And that could include at times in the future some resourcing of those chassis to some of those manufacturers' U.S.-based operations, should they have capacity. We also have chassis inventory on the ground in a number of our businesses from a working capital standpoint that we'll be able to work through. And the number of other mitigation strategies and actions that we're working on. I'd prefer not to share those in detail from a competitive standpoint this morning, but motorized chassis probably represents the most significant tariff exposure to us in sort of bulk good items in the future. So you can be rest assured that's something our strategic sourcing team is working on as we speak this morning.
Tristan Thomas-Martin: Okay. And then just one quick follow-up. I think in the past, it's price increases have always passed through ASP increases. Would there be any thoughts maybe do, like, surcharges given the fluidity of everything?
Michael Happe: Tristan, I think all options are on the table. Especially given the uncertainty of the environment. So as I mentioned earlier, there could be some just pure price increases where tariff costs are embedded. And in other cases, our businesses or brands may choose to use surcharges as well. We want to be very transparent with our dealers, subsequently, we want to be transparent with our consumers as well. In the event that the tariff environment changes, which is probably more likely than not, we have to have agile methods and processes to be able to react relatively quickly. And so it will be a mix of different forms of cost going to the market. But again, I want to reiterate that we're gonna do everything we can first and foremost with our suppliers to mitigate that cost. And I would say, in general, we're in better shape in fiscal year 2025 and 2026 than we were back in fiscal year 2018 when we saw sort of the first versions of these tariffs from this administration many years ago. So I'm proud of our purchasing and sourcing teams, but that doesn't mean that there isn't going to be some increased cost exposure downstream from us.
Tristan Thomas-Martin: Okay. Thank you.
Operator: Thank you. Our next question comes from Michael Swartz with Truist Securities. Your line is open.
Michael Swartz: Hey. Hey, guys. Good morning. Maybe just to start. I think, you know, resetting Mike, in your prepared comments, you talked about the pricing strategy with the Winnebago Towables business. Maybe provide us a little more context there of what exactly that means. I would assume some of that is maybe going down market a little bit given where the grand design mix has gone over the past twelve months or so, but just any context would be helpful.
Michael Happe: Yeah. Good morning, Mike. Thanks for the question. That's an important business opportunity. We truly believe that we can take share from around 1.4% of Towables today on the Winnebago Towables business to something north of 3% with probably 5% as a BHAG over the next three to five years. So in the short term, there are many actions being undertaken in that business to sort of reset the environment. Amongst them are modifying pricing on current products in our lineup. There have been times where, you know, perhaps the MSRP was elevated to allow the dealer the room that they often like to negotiate with customers. But it also probably included an expectation that the OEM, i.e., ourselves, would offer some pretty significant sales allowances or discounts. So in the short term, we're pricing Winnebago Towables products to where they need to be priced in the market to move effectively at retail and to, you know, enhance the probability that our dealers will take that inventory. In the long term, we're gonna get the product right. We're gonna have better product in terms of differentiation. We are going to probably attack some price points and segments that we may not get to completely with our other Towables brand, Grand Design. And we're going to look to create some innovation as well in that space. I am really excited by the work that Don and the team are doing there. And we are getting good feedback from dealers in the RV industry about the potential for that business and brand as we share some of our early strategic intentions there. So obviously, in future quarterly earnings calls, we'll be sharing updated progress on that. But we've got to get the current product price right and then bring some new product to market. And I think you'll see some of that new product late in this fiscal year, probably sometime in the fourth quarter. You might even see some new product from Winnebago Towables.
Michael Swartz: Okay. Great. And let me I know you've talked about, you know, managing or balancing margins in market share. And I think over the past, you know, four or five quarters or so, you've pretty consistently undershipped the market. I guess, how do you just think about that maybe over the coming twelve months in terms of, you know, how you think of market share? Is there a point where you need to put some more product back into the market, more on the towable side than maybe what you've been doing over the past, you know, couple of quarters?
Michael Happe: I think that's probably right. And to Bryan Hughes's earlier point in the call, that will probably come especially where we're gaining retail market share. You know, we've had to make some adjustments across our RV lineup specifically in order to address the consumer shift to affordability. And obviously, the mix lower from an ASP standpoint. And that's been a little bit of a work in progress. We're really pleased with some of the recent market share gains we're seeing at retail on some of the new products we've introduced to the market. And we think at that point, the dealer backlog and reorders will follow. Our dealer backlog in towable RVs is higher today than it was a year ago, both in terms of units but also dollars. And we think that reflects increasing dealer appetite, you know, for our products. So, you know, we're certainly aware of shipment share trends. We're certainly aware of sort of the macro field inventory dynamics. You know, we're focused on retail getting the product right, and we're confident that our dealers will adequately stock the right winning products, you know, over time. So I'd much rather have dealers feeling like they have a little less than they need going into the recovery, you know, in the future than more than they need on our products. And we want the aging of our products in the field to also be healthy. And that continues to improve every month. It's significantly better than a year ago. And so shipment share is important. But long term, it's all driven by having the right products at retail that pull that shipment share along in the future.
Michael Swartz: Okay. Great. Thanks, Mike.
Operator: Thank you. Our next question comes from Andrew Wolf with CL King. Your line is open.
Andrew Wolf: Thank you. Good morning. My question is kind of related to the last question. It's about the sequential change in dealer inventory. It's sort of just kind of a similar question, you know, I guess, you kind of answered it, but, you know, two of the segments, it was up, which I think is, you know, obviously seasonally related, but I wanted to ask if there was any, you know, sense of restocking or, you know, buying in the anticipation of future sales. And I guess you it seems like you answered it, and, you know, some of the innovation you're doing. But there's also the other, you know, the motorized where it was down sequentially, which really was contrary to seasonal. You know, seasonality should have been up, which is sort of, you know, telling us that the dealers are still quite cautious there given the price point. So, you know, could you just add any flavor on that in the context in which I'm asking it about, you know, potential stocking up in limited, you know, areas where the dealers, at least as of the end of last month, might have been feeling there were these, you know, gonna be good future sales.
Michael Happe: Well, good morning, Andrew. Let me speak to the motorized RV side. I think that might be the most interesting part of your question because we've addressed some of the towables dynamics a little earlier. I think the towable RV stocking behavior you've seen in recent months is probably, you know, as much related to seasonal, you know, dealer appetite to raise their inventory levels a little bit going into the season. But on the motorized side, I think the general sentiment in the industry is that motorized RV field inventory is still a little elevated and includes probably a little bit more aging than you will see on the towable side. And so subsequently, I think dealers have been much more cautious on motorized RV inventory. You've also seen more retail pressure on motorized products here in the last number of months. And so I think dealers are feeling a little less bullish about the spring and summer selling season on motorized. Specific to our brands, we have been very conscious with our Newmar brand about making sure that the dealer inventory is in a healthier position than it was several years ago. We were probably a little bit bloated and high on Newmar inventory several years ago. And now we feel really good about the inventory levels there. On the Winnebago branded motorhome side, we continue to look at that business as a refresh and turnaround opportunity as well. And that team is working on some new products. And subsequently, the dealers are probably hedging some of their inventory on Winnebago Motorized in the short term until we get some better products to the market in the long term. And finally, Grand Design Motorized, the Lineage line is starting to roll out. There's no comps versus a year ago because inventory was zero. But we're really pleased by retail activity there. And dealers are very excited about now the three models of the Grand Design Lineage motorized line that they can see coming. And you will see an inventory build on that brand for sure as we stock our dealers. So just being very cautious, I think both us as an OEM but also our dealers on that rate.
Andrew Wolf: Thank you for that color. Just a quick follow-up, and this is the last question. How do you feel about the kind of rebate or, you know, helping the dealers clear out some of the whether it's older Winnebago product maybe more than Newmar on the motorized side.
Michael Happe: I'll ask Bryan to speak to that. I'll just offer this comment that, you know, our modus operandi there has always been to be surgical, you know, more than, you know, use a sort of a shotgun approach. And so I think the businesses have been really looking for those pinch points and pain points that are of, you know, significant concern to our dealers. But Bryan can probably give you a little bit of context as to how we kinda see that sales allowance and discounting trends here in currently, but maybe in the future.
Bryan Hughes: Yeah. Andrew, I guess what I'd add is they still remain elevated across the industry on the motor home segments specifically. So elevated rebate discounting. And again, that goes back to some of the inventory aging out in the field that Mike referenced. So we try to, you know, to the best that we can work with our dealers to tie any rebate structures to helping the dealer move those aged units along. Sequentially, it did improve a little bit in terms of its ratio to sales. That rebate and discount allowance line. So we did see some improvement, but it's still certainly elevated versus the long-term rates that we would see. So more work to do on motor home dealer inventory in particular.
Andrew Wolf: Got it. Thank you.
Operator: Thank you. Our next question comes from Bret Jordan with Jefferies. Your line is open.
Patrick Buckley: Hey, good morning, guys. This is Patrick Buckley on for Bret. Thanks for taking our questions. Could you talk a bit more about where we are in the marine cycle versus RV? How is the overall dealer health there? And maybe what's the current appetite for restocking versus destocking into the spring and summer seasons?
Michael Happe: Yeah. Good morning. Appreciate the pivot here to the marine side because we're really excited about, you know, our two brands and businesses there and, you know, both at Chris Craft, but, you know, particularly at Barletta with our market share trend continuing upward there. We are not seeing at a dealer financial health level in ordinary pressure in marine that is what I'll call, demonstrably different from the RV side. That doesn't mean that marine dealers aren't a little bit stressed like their RV counterparts in terms of the demand environment. And consumer sentiment challenges and the like. But we monitor very closely dealer financial health across our entire portfolio, particularly with the help of our in-house sales teams but also our inventory finance partners are very helpful, you know, to make sure that we're aware of any dealers that are stressed. But nothing of significance that we would share on the call. From a cycle standpoint, we continue to believe that the marine industry is a little bit behind the RV industry in terms of probably the dealer destocking curves. That varies by category. But the dealers in the marine space do continue to manage their inventory quite specifically. We feel good about where, you know, Barletta and Chris Craft are year over year. They're both down double digits as we speak on field inventory from a unit standpoint. And their aging inventory continues to improve with every month. So we'll see how the marine dealers act here in the spring and summer selling season. The marine industry can be more compressed from a boat delivery standpoint, especially in the northern climates. You have limited weeks and months that consumers have the opportunity to use their product. And dealers definitely want to have enough inventory to manage retail and deliveries. But I think we'll still see several more quarters of at least of destocking behavior by our marine dealers. But as we've indicated before in this call, market share trends particularly in this space are very positive for us. Chris Craft is gaining a little share. But Barletta is now solidly the number three aluminum pontoon player in the U.S. Continues to gain share almost every month, and certainly over three, six, and twelve-month periods. And we think there's significant runway ahead for Barletta regardless of the sort of industry dynamics at this point.
Patrick Buckley: Great. That's all from us. Thanks, guys.
Operator: Thank you. Our next question comes from Kevin Condon with Baird. Your line is open.
Craig Kennison: Hi. This is Craig Kennison. I'm not sure if you're hearing me, but can you hear me okay?
Michael Happe: We are, Craig. Yep.
Craig Kennison: Yeah. I don't know why they registered Kevin, but Mike, I had a leadership question for you. I see that you hired someone from John Deere to run operations. I know it's only been a few weeks, but I'm wondering what his early priorities are to drive better margin performance to kind of address, like, what looks like a deficit relative to where you'd like to be.
Michael Happe: Good morning, Craig. Thanks for the question. A little bit of history on that new leadership position. Chris West, who has been asked to go run the Winnebago branded motorhome and specialty vehicles business here about six to eight months ago, was the predecessor to our new leader, Steve Spike. Chris was our SVP of enterprise operations since the late fall of 2016. And did a really good job standing up that center of excellence and that enterprise function. Steve Spike is, I think, going to offer a significant positive impact to the company. He spent several decades at, obviously, a high-quality organization at Deere and Company. He's been an operations leader in multiple parts of that discipline around the globe. And really, his focus from a functional leader standpoint will be on manufacturing excellence and productivity and efficiency. He'll also have oversight over our strategic sourcing team, which works with our supply chain leaders across the company to obviously manage, you know, cost and fill rate and delivery and quality. Steve will also have his hands on the steering wheel on product quality improvement, you know, again, working directly with our businesses. Any continuous improvement activities, whether you call them lean, you know, or, you know, problem-solving. And then employee health, safety, and security also fall under Steve's purview. In the short term, Steve has built in full then quite quickly. Obviously, the tariff discussion. And I think he'll also give us a nice fresh set of eyes on how we can continue to manage our production variances, especially in light of a significant amount of our capacity not being utilized in the present moment. I'll ask Steve to look at across our manufacturing footprint and obviously try to identify waste and inefficiency across the footprint to see if we can't again drive our margin profile a little bit higher by utilizing our infrastructure more effectively. So it's a big job. But he's a capable leader. We're excited to have him on the team. We think that type of leadership is what separates us at times from some of our competition as well.
Craig Kennison: Thank you. And as you look at the March deficit relative to where you'd like to be, how much of that is volume or mix or promo, and how much of it is, you know, some of the operating initiatives that Steve may undertake.
Michael Happe: Well, I think, you know, I think some of this will be sort of short-term, long-term management. I'll ask Bryan to comment on margin management within the company. I think Steve's obviously on the tariff side going to be involved in the short term on helping us navigate that increased cost environment. But really, some of his initiatives are probably going to take, you know, six months to thirty-six months to ultimately bring to life and draw out some of that inefficiency and add to margins. But Bryan, you may have some thoughts obviously on more shorter-term, you know, margin management from, you know, sort of Steve's point of view.
Bryan Hughes: Yeah. I mean, the big story in the near term has been the leverage equation as we've fought through the trough here. And then product mix as the market has a preference for the more affordable products. So those have been the two biggest drivers as we start to see improvements to the top line year over year, we should see some leverage as the biggest driver of margin opportunity. And then at the same time, some of the market-based incentives and discounting that we talked about earlier should, you know, revert back to some longer-term trends we would expect. You know, I think there's a longer term, there's an opportunity for us in the quality realm. Mike referenced that that will be an area of focus for Steve. You know, we've had some cost of quality flow through our P&L over the last couple of years. And I think some opportunity there. And then long term, we've always talked about innovation and our focus on differentiated product is the big opportunity that has for a long time helped us have EBITDA margins that are above the competition. So that will continue to be a focus of ours as well, you know, that differentiated product line. So several things that I think we'll see in the near term and then in the longer term, you know, showing the opportunity that we have to exceed industry-level margins as well.
Craig Kennison: Thanks.
Operator: Thank you. And our final question comes from Michael Albanese with Benchmark. Your line is open.
Michael Albanese: Yeah. Hey, guys. Thanks for taking my question. Comment on the increase in the warranty expense in the Towables segment. Maybe just give us an idea, I guess, of the delta year over year or maybe the margin impact. And I guess, really, was that, you know, is it within your expectations and kind of historical cadence? Just any color there would be helpful.
Bryan Hughes: Yeah. I'll cover that first, Mike, and then you can chime in with some additional thoughts if you'd like. I guess there's a couple of comments I'd make. First, our Winnebago towables business is going through a reconstruction or revitalization as we've talked about earlier in the call here. As we address the historical quality issues that this business has had, we are certainly experiencing elevated warranty expense as a percent of sales. And we hold this to be more transitory. In our Grand Design Towables business, I'll remind you of the longer history as it relates to warranty expense and experience in this business. We had a couple of years, fiscal 2023 and fiscal 2024, warranty expenses, the ratio of sales was notably lower relative to the long-term trend. In fiscal 2025 now, we have seen warranty expense ratio of sales rise as sales gone through the trough of the cycle to maybe call it thirty to fifty basis points higher than historical levels. As a result of addressing some broader quality campaigns. The increases versus the low ratio of the sales in fiscal 2024 is closer to a point of margin probably. We've always emphasized quality and make taking care of our customers and Grand Design is noted in the industry for doing so. I'd say the higher ratio of sales in the current quarter is more a reflection of that practice combined with going through the current cycle's trough in sales. So if you look at the details underneath the businesses there, it's, you know, there's a couple of different dynamics going on. But that's how I would describe the current quarter performance.
Michael Albanese: Right. That was really helpful. Thank you.
Operator: Thank you. This concludes the question and answer session. I would now like to turn it back to Ray Posadas for closing remarks.
Ray Posadas: Thank you, Daniel. That is the end of our second quarter earnings call. Thank you, everyone, for joining us. We look forward to further updating you on our progress on future calls. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.